Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss BurgerFi's financial results for the fourth quarter and fiscal year ended December 31, 2021.  
 Joining us today are Ian Baines, CEO of BurgerFi International; and Mike Rabinovitch, CEO (sic) [ CFO ] of BurgerFi International. Following their remarks, we'll open the call for your questions. 
 Before we begin today, I want to remind everyone this conference call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, including statements related to BurgerFi's estimates of its future business outlook, store opening plans, same-store sales and restaurant operating margin growth plans, prospects of financial results, including projected sales, restaurant EBITDA or financial results from the company's acquisition of Anthony's Coal Fired Pizza & Wings.  
 Forward-looking statements generally can be identified by words such as anticipates, believes, estimates, expects, intends, plans, predicts, projects, will be, will continue, will likely result and similar expressions. These forward-looking statements are based on current expectations and assumptions that are subject to risks and uncertainties, which could cause our actual results to differ materially from those reflected in the forward-looking statements.  
 Factors that could cause or contribute to such differentiate (sic) [ differences ] include, but are not limited to, those discussed in our annual report on Form 10-K for the year ended December 31, 2020, and when filed, our annual report on Form 10-K for the year ended December 31, 2021, and those discussed in other documents we file with the Securities and Exchange Commission. 
 All subsequent written and oral forward-looking statements attributable to BurgerFi or persons acting on BurgerFi's behalf are expressly qualified in their entirety by the cautionary statements included in this conference call. We undertake no obligation to revise or publicly release the results of any revision to the forward-looking statements, except as required by law.  
 Given these risks and uncertainties, listeners are cautioned not to place undue reliance on such forward-looking statements. Also, the following discussion may contain non-GAAP financial measures. For a discussion and reconciliation of these non-GAAP financial measures, please see our earnings release for the fourth quarter and full year 2021. 
 I would like to remind everyone that this call will be available via telephonic replay for 2 weeks starting today. A webcast replay will also be available via the link provided in today's press release as well as on the company's website at https://www.burgerfi.com/. 
 Now I'd like to turn the call over to the CEO of BurgerFi, Ian Baines. Ian? 
Ian Baines: Thank you, operator. Good morning, everyone. We're happy you can join us today, and I'm thrilled to be here as the CEO of BurgerFi. I want to take a moment to express gratitude for our entire team as they have remained dedicated and continue to successfully navigate this very challenging environment. For those of you who are new to the company, I was previously CEO of Anthony's Coal Fired Pizza & Wings, and effective November 8, I assume the CEO role of the combined company. 
 I'm very excited to combine these 2 premium brands. As a reminder, on November 3, 2021, BurgerFi closed on the transaction to purchase 61 corporate-owned premium casual dining locations operating under the name Anthony's Coal Fired Pizza & Wings. Anthony's was a compelling opportunity for BurgerFi given its strong profitability history and future potential and top-tier unit economics with average unit volumes of $2.3 million sales per square foot nearing $700 and 19% restaurant-level margins on a pre-COVID basis. 
 In addition to the outstanding opportunity from Anthony's core restaurants, we see additional long-term growth opportunities through a smaller concept footprint that we plan to franchise beginning this year and a virtual brand called The Roasted Wing. Furthermore, Anthony was very attractive to BurgerFi as there is a significant overlap in geography with both brands, having a strong foothold in the Florida market and the opportunity to realize both cost synergies as well as revenue and strategic synergies. Through this transaction, we have strengthened our profitability, have access to greater competencies between the 2 brands and leadership teams and elevated our potential growth. We [ tucked ] behind efficient strategies, and our dedicated team integration of Anthony's into the BurgerFi system is going very well, and we've already begun to realize positive synergies from the business combination. To that end, we plan to realize $2 million in cost savings as a result of our first wave of synergies in 2022.  
 We have fantastic opportunities ahead for both brands, and I'm looking forward to leading the growth of the combined company moving forward. Our long-term goal is to assemble a strong multi-platform growth company in the fast-casual and casual dining industries. And I'm thrilled with the progress we're making towards that end. The BurgerFi brand was recently recognized for the second year in a row as the Top Better Burger Fast Casual chain in USA Today's 2022 10Best Best Readers' Choice survey and the #1 brand of the year in FastCasual's Top 100 Movers & Shakers List for 2021. 
 I'll now turn the call over to our CEO (sic) [ CFO ], Mike Rabinovitch, who will provide additional commentary on our performance for the fourth quarter and full year 2021 financial results. Mike, I'd like to turn the call over to you. 
Michael Rabinovitch: Thank you, Ian, and good morning, everyone. To start, I want to mention that our reported fourth quarter results include a full quarter of BurgerFi and 2 months of Anthony's results. 
 Our fourth quarter total revenue continued to be impacted by COVID-19 and its variants, but we were still able to deliver an increase of 261% to $35.1 million in sales compared to $9.7 million in sales in the year ago quarter. Our strong revenue growth was driven by the addition of 2 months of Anthony's operations, which was acquired on November 3, 2021, new BurgerFi restaurant openings and positive same-store sales, which were supported by new product innovation and a high retention rate on digital sales. 
 For the BurgerFi brand, corporate-owned restaurants delivered a 5% increase in same-store sales during the fourth quarter and our franchise locations performed very well with a 7% same-store sales increase. We are making significant progress in recouping our pre-COVID-19 sales levels. Compared to 2019, same-store sales and corporate-owned restaurants were flat and minus 4% for franchise locations for the fourth quarter. System-wide sales in the fourth quarter increased 23% to $40.7 million compared to $33.2 million in the year ago quarter as our franchisees have continued to recover from the extremely difficult challenges we all faced during the peak of COVID-19.  
 Overall, for the BurgerFi brand, digital channel sales comprised 36% of our system-wide revenue in the fourth quarter of 2021. We are very pleased to retain the vast majority of digital channel component of our business relative to peak COVID, while our in-restaurant dining continues to recover. We will continue to invest in technology with the goal of delivering a more frictionless omnichannel experience to drive guest satisfaction and sales. We were not alone in feeling the inflationary cost of food, supplies and labor this year. As a result, restaurant-level operating margins declined 340 basis points compared to that of the year ago quarter. 
 Turning specifically to Anthony's restaurants. We realized a 13.7% restaurant-level margin during the fourth quarter. While this is well below pre-COVID levels due to sales not yet being fully recovered and therefore not able to lever the restaurant operating expenses that are fixed in nature.  
 We expect significant improvement in restaurant operating margins as sales continue their recovery, which for the 2 months ending December, we're still 6% below 2019 but higher than 2020 by 22%.  
 In addition, with price increases, normalization of chicken wing prices and procurement strategies recently implemented, we believe that we can recapture Anthony's strong restaurant-level margins of 19% when sales and inflationary pressures become normalized. Supporting this belief is that Anthony's has also retained a significant portion of its digital business with 39% of their sales during our ownership. 
 Moving on to pricing. Here in the short term, given pervasive inflationary pressures on food and labor costs, we took a price increase of 3.5% at BurgerFi company restaurants in mid-January, which follows a 4% price increase taken late last June. At Anthony's, we also took a 2% price increase in late January. We will continue to monitor our restaurant-level costs and pricing elasticity with an aim to drive normal operating margins in a more stable environment. We reported a net loss attributable to common shareholders in the fourth quarter of $117.3 million which compares to a gain attributable to controlling interest of $6 million in the year ago quarter. This loss primarily resulted from a noncash impairment charges of $114.8 million and, to a lesser extent, certain investments made related to being a public company.  
 Adjusted EBITDA in the fourth quarter was $2.6 million compared to $800,000 in the year ago quarter. This year-over-year improvement was driven by the acquisition of Anthony's and BurgerFi revenue growth, partially offset by the investments related to being a public company, and those to drive the growth and development of corporate-owned restaurants.  
 Next, I'd like to recap our results for the full year 2021. Total revenue in 2021 increased 103% to $68.9 million compared to 34% -- $34 million in 2020, driven by the inclusion from 2 months of Anthony's operations, the addition of new BurgerFi restaurants throughout the year and a 14% increase in system-wide same-store sales. BurgerFi Brands system-wide sales in 2021 rose 31% to $166.1 million for the year compared to $126.9 million in 2020. Same-store sales for BurgerFi restaurants increased 14% and 15% in corporate-owned and franchised locations, respectively, and were supported by an increase in average check value resulting from menu innovation at the end of the first quarter, price increases instituted towards the end of the second quarter and an improved selling environment as compared to when COVID-19 first impacted us in early 2020.  
 Restaurant-level operating expenses for 2021 were $50.4 million compared to $22.1 million in the prior year period. Restaurant-level operating expenses as a percentage of sales improved for the full year 2021 by 110 basis points compared to the full year of 2020 due to leverage from higher same-store sales on occupancy costs, which are relatively fixed in nature, offset by higher labor costs as a percent of sales.  
 Net loss attributable to controlling interest and common shareholders in 2021 was $121.5 million compared to a net gain attributable to controlling interest and common shareholders of $6 million in 2020. The loss resulted primarily from $114.8 million noncash impairment charges, $7.6 million of noncash share-based compensation expenses, $4.3 million of acquisition-related costs, $1.9 million of preopening costs and the investments related to becoming a public company in December 2020.  
 Adjusted EBITDA increased by 72% for the full year 2021 from $2.2 million in the prior year to $3.8 million in 2021. This growth was driven by 2 months of operations of Anthony's being included, which was acquired on November 3, '21, revenue growth from new BurgerFi restaurants and a 14% increase in BurgerFi brand system-wide same-store sales, partially offset by the investments related to being a public company and the investments associated with the resources to support accelerated company-owned restaurant development. 
 Moving on to our balance sheet. Our cash balance at the end of the year was $14.9 million compared to $37.2 million on December 31, 2020. The difference in cash reflects the repayment and termination of our revolving line of credit of $3 million in the first quarter of '21, repayment of $9.2 million of debt associated with the acquisition of Anthony's as well as capital expenditures of $10.2 million related to the construction of new corporate-owned restaurant locations. 
 Next, I'd like to speak to our unit growth. During the fourth quarter, we opened 6 new BurgerFi restaurants consisting of 3 corporate-owned and 3 franchise locations. For the full year '21, we opened 16 new locations, which represented 13% unit growth. Further, we have opened 6 additional locations through March of this year and have another 14 under various stages of development. Most of the new locations are in markets we currently operate in. And as a result, we're excited about continuing to build on the strength of the brand in those areas. For Anthony's, we are developing a smaller 2,200 square foot prototype as a franchising alternative to the traditional 3,200 square foot footprint of the company-owned restaurants. This increases our optionality on sites, provides more attractive unit economics and will expand Anthony's total addressable market. We look forward to providing updates over the coming quarters with our progressing growth of the Anthony's brand.  
 Moving on to our outlook. We remain optimistic about our short-term and long-term prospects. While January was a more volatile sales month, given the surge of the Omicron variant, we have seen sales stabilize as the quarter progressed. For 2022, we are reaffirming our previous guidance, which includes annual revenues of between $180 million to $190 million which assumes a mid-single-digit increase in same-store sales and the addition of 15 to 20 new restaurants. With respect to the breakout of franchise versus corporate locations, we expect most of the new stores to be franchised locations.  
 We did see some slippage in the number of new unit openings last year due to the challenges related to securing equipment, permitting and construction delays and scarcity of labor. That said, we are seeing a more robust store opening schedule here in the first half of 2022, resulting from these delays. In total, we are expecting capital expenditures to be between $3 million and $4 million for the full year. 
 Now I'll send it back to Ian to discuss our growth plan and strategic initiatives going forward. Ian? 
Ian Baines: Thank you, Mike. Our top priority remains a guest experience and our team members. The dining rooms have reopened, we remain intensely focused on providing the guest with a seamless experience, accompanied by high-quality, great-tasting food. Further, we remain focused on, off-premise and digital dining as we continue to optimize our digital and ordering solutions so that our guests can choose where and when they want to have their meal. Guests can order pick up and delivery through our mobile apps, order through our websites or order from the largest third-party delivery providers in the marketplace.  
 Another way we are looking to improve our guest experience is through continued refinement of our omnichannel experience. We are working on a more consumer-focused and data-driven approach to drive engagement among our consumers and ultimately increase sales and profitability. We are also focused on building out our loyalty, mobile application and delivery features as well as our payment capabilities. We are very excited about increasing our usage of our state-of-the-art self-ordering kiosks at BurgerFi, which is, on average, resulting in strong increases in check average, and we believe improving the guest experience. We've currently begun rolling out to the corporate locations in addition to some of our franchisees.  
 We are also testing the utilization of AI telephone entering at Anthony's to also improve that experience. By leveraging upgraded technology and innovative multichannel services, we are excited to provide our customers with the experience of choosing when and where they want their order. Linking upgraded technology with our refined consumer-focused marketing we are confident that we will increase our brand recognition and further improve our customer experience as we progress through 2022 and beyond.  
 Moving on to our development strategy. Our development strategy over the next few years will be focused on building clusters of corporate-owned restaurants to leverage our scale in key cities such as Jacksonville, Tampa, Atlanta and Nashville. Along with franchise restaurant expansion. From the Southeast, we want to work our way up the Eastern Seaboard, and we already operate in the Carolinas, the suburbs of Washington, D.C. Philadelphia and New York. So by moving north, we are creating a prominent brand presence along the East Coast. Looking to other U.S. opportunities, we intend to pursue multiunit franchise deals in markets like Southwest and Midwest, but only if they meet our rigorous criteria. We expect our potential franchise partners in these markets to be well capitalized, have restaurant and/or retail experience and deep knowledge of the geography they do business in. and be a good cultural fit for our company.  
 To address our opportunities outside of the Continental U.S., we already have a strong performing restaurants in Puerto Rico with plans to open additional locations in that market. We also continue to have conversations with potential franchise partners in Latin America, which is, again, another significant growth opportunity. In early 2021, we signed a multiunit deal to open 6 restaurants in eastern province of the Kingdom of Saudi Arabia. We opened our first franchise restaurant in Saudi Arabia in the fourth quarter and currently have additional locations in various stages of development.  
 In addition, we're very excited at the high level of interest from our franchise network regarding investing in Anthony's franchise locations, which we plan to begin later this year. It is an exciting time at BurgerFi as our 2 premium brands are on trend with the consumer and we are early -- we are in the early innings of our significant growth potential.  
 Once again, I would like to thank all of our team members for their hard work, dedication and perseverance during these challenging times. With that, operator, please open up the call for questions. 
Operator: [Operator Instructions] And our first question will come from Peter Saleh with BTIG. 
Peter Saleh: Great. Just a point of clarification. The mid-single-digit same-store sales guidance for 2022, is that strictly for BurgerFi? Does that include Anthony's? And then secondarily, how much of that is menu pricing at this point if you don't take any more price for the balance of this year? 
Michael Rabinovitch: It's a good question, Peter. That mid-single-digit assumption is a blend of the 2 brands combined. And given that we took a 4% -- 3.5% price increase at BurgerFi and a 2%, that would average out to be somewhere around 2.5%. So somewhere between 1/4 and 1/3 of the sales assumption is coming from price. 
Peter Saleh: Understood. And do you.. 
Michael Rabinovitch: Peter, I'm sorry, I just want to add a further clarification to that. Given that BurgerFi also took a price increase last June, you would see a first 6-month impact. So maybe the overall 2-year rolling price impact in same-store sales would be closer to half? 
Peter Saleh: Okay. Closer to half. Okay. Can you just give -- I mean, all right, that's fair. Okay. Do you plan to take more pricing later this year to, I guess, replace what you -- what's going to roll off sometime this summer? 
Michael Rabinovitch: The price increase that we took in January was in reaction to the trailing 3- to 4-month experiences we saw in the labor market and the food and supply chain side. We want to be able to give the market that same period of 2, 3, 4 months of evaluation because taking price is not strategically what we would want to do. We want to be able to offer an overall value proposition to the customer. So as we see stabilization in our food and commodity prices, which we've already begun to see on the Anthony's side, for example, in the chicken wings, which was one of their biggest points of pressure last year, those margins would begin to normalize and our initiatives would be much less focused on price. 
 Having said that, if the labor and food side of the equation continues to pressure through inflation, which really we saw a lot of in the back half of last year, we would have no choice but to continue to look at price. 
Peter Saleh: Got it. Understood. Okay. Can we -- just curious on the technology initiatives. I think you mentioned for BurgerFi, the use of kiosks; and at Anthony's, some AI ordering -- phone ordering. Can you guys elaborate a little bit on what you're seeing and what you're doing on both of those brands? 
Michael Rabinovitch: Yes. So I'll talk about the kiosks. So I'll let Ian talk about the AI on the phone. So at BurgerFi, we did a test for about 120 days on 4 restaurants where we have 3 cashier registers, and we replaced 3 of those cashier registers with kiosks. We saw a number of qualitative and quantitative benefits of doing that. The order accuracy and, therefore, the customer experience is positively affected. Through the use of the AI and the intelligence within the kiosk system, we end up with an average check lift. So we've made the decision to roll that out to all corporate restaurants, and that is under way now. We expect that to be complete within the next 60 to 70 days. As it relates to the -- I should add, we are still going to have cashiers with points of sale. It's just adding the kiosk options within the restaurants. 
 For AI on the telephone for Anthony's, I'll let Ian explain not only what we're doing but what we're trying to improve, right, and it -- and why it matters. 
Ian Baines: Right. So Anthony's, although we do have, as I shared earlier, a big digital presence in terms of ordering and online ordering, which continues to increase for us. Part of Anthony's demographic still like to order via telephone. And obviously, the peak time, Friday night is an example, between 5 and 7 is a peak time. So getting those telephone answered and also order accuracy and the ability of the people answering the telephones to upsell 10 times be challenging. So we have been testing AI technology phone answering in a number of locations now. And the longer it runs, the better it becomes as algorithms learn to respond to what the guests are ordering and then upsell. So early indications are that it is quite a seamless experience. 
 And then similarly to the kiosks, we are seeing an uptick in the average check. So we had experimented with this type of technology about 18 months ago. And quite frankly, the partner that we went with at that time was a bit clunky. So it has continued to improve. So we've now rolled out in 4 locations and looking to add more. So not -- and it helps the guest experience, but it also helps our team members and could possibly give us an opportunity to have some labor savings. 
Peter Saleh: Understood. Very helpful. Okay. A couple of more questions on my end, and then I'll pass it along. Can you just talk about the confidence in the unit development targets for this year? I know 15 to 20, but you're already at 6 units. You got 14 more in the pipeline. So how confident are you that you guys will hit that 15 to 20 this year? Is there an opportunity to outperform that number? Any thoughts there would be helpful. 
Michael Rabinovitch: Yes. I think that we're comfortable. We're very comfortable in the range of the 15 to 20. I think that we've had a lot of learnings over the last year about what we expect in the marketplace when it comes to the contractor, the labor, the equipment process. So I feel -- we both feel a little bit more confident in those ranges and the delivery cycle. They're not all backloaded towards the last 2 months of the year. And then we experienced a slippage, and that's what happened last year. Having said that, given that the majority of our locations are franchise-driven and it's those independent operators that are procuring and staffing and building out their stores, we took a lens where we didn't include all of the franchises that could open this year because we are not in control of what they do. 
 So they're there could be movement on that within that range of 15 to 20 or above that range, but that would be driven by our franchisees moving a little quicker than we've seen them be able to move over the last 6 months. So we put a range out there that we thought that we would not be in a position to have. 
Peter Saleh: Understood. Okay. And then just last question. I think you mentioned, Mike, that January sales are volatile, but things have stabilized. Is there any more color you can provide on 1Q or do you care to provide any other color? Are you within mid-single-digit same-store sales outlook for the full year for the first quarter, below that, above that. Just any details if you care to provide would be helpful. 
Michael Rabinovitch: Yes. I will pause to give first quarter kind of market experiences and what's going on for our first quarter results because we're in closing now. I want to be able to comment on them more thoughtfully. But what I will provide is color on the guide that we put out for the year. 
 A lot of that is based on a continued stabilization in the marketplace, and so it's not an even by quarter, it's ramping throughout the year. So the first quarter component of our annual revenue guide and the first quarter component of that comp guide is not in the high -- is not in the mid-single digits. It's lower than that, and we would expect continued improvement. I'll note that last year, just as a data point, last year at BurgerFi, we had very strong comps in February through May. 
 We're going against that very strong period where we launched a brand-new product, which ended up being about 5% of our menu. 5% of our sales, The SWAG Burger. So it's not all even and that's why we had a kind of ramping up throughout the quarters. Does that address your question? 
Peter Saleh: Yes, absolutely. I'll pass it along. 
Operator: [Operator Instructions] Our next question comes from Lynn Orenstein with Drexel Hamilton. 
Lynn Orenstein: And first of all, thank you for all that you do for veterans and giving back to the veteran community. I have a question. Will you be expanding the locations for Gopuff delivery in South Florida? And when do you believe mobility payments will be ready for usage? 
Michael Rabinovitch: I think I can begin to address the first one, while I am -- see if Ian has a response for the second one, I don't think either of us do. So on the first one, we are in the beginning of our test period with Gopuff. It's going very well. They're a good partner, and very creative and they have a market. So we're together using the learnings of that. The learnings of that will likely translate into Where's Next, not if next. It's Where's Next. And they do have a strong market in South Florida. So that would be one of the opportunities we evaluate. But I don't think we're at the point together where we would be calling out exactly where that is. On the mobility payments, I'm just going to have to pass on that because I just I'll look it up. I don't even know how to respond at this point. 
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Baines for closing remarks. 
Ian Baines: Thank you, Michelle. We are extremely excited about the future of these 2 synergistic brands. I'd like to thank everyone for listening to today's call, and we look forward to speaking with you when we report our first quarter results in May. Thanks again for joining. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.